Operator: Ladies and gentlemen, we'd like to thank you for standing by, and welcome to the MetLife Third Quarter 2021 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. Before we get started, I would refer you to the cautionary note about forward-looking statements in yesterday’s earnings release and to risk factors discussed in MetLife’s SEC filings. With that, I will turn the call over to John Hall, Global Head of Investor Relations. The floor is yours, sir.
John Hall: Thank you, operator. Good morning, everyone. Welcome to MetLife's Third Quarter 2021 Earnings Call. Before we begin, I refer you to the information on non-GAAP measures on the Investor Relations portion of metlife.com, in our earnings release and in our quarterly financial supplements, which you should review. On the call this morning are Michel Khalaf, President and Chief Executive Officer; and John McCallion, Chief Financial Officer. Also participating in the discussions are other members of senior management. Last night, we released a set of supplemental slides which address third quarter results. They are available on our website. John McCallion will speak to those supplemental slides in his prepared remarks if you wish to follow along. An appendix to these slides features additional disclosures, GAAP reconciliations and other information which you should also review. After prepared remarks, we will have a Q&A session that will extend to the top of the hour. In fairness to all participants, please limit yourself to one question and one follow-up. With that, over to Michel.
Michel Khalaf: Thank you, John, and good morning, everyone. As I reflect on the journey MetLife has been on these past two years, I am more convinced than ever that we are focused on what matters most. We are a purpose-driven company at a time when stakeholders will accept nothing less. We have the right strategy to see us through even the most turbulent environments, and we have a strong culture of execution that gives our shareholders confidence. All of these attributes were on display in the third quarter of 2021. Starting with our financial results. Adjusted earnings were $2.1 billion, up 31% year-over-year. Adjusted earnings per share were $2.39, up 38% year-over-year. Excluding total notable items in both periods, adjusted earnings were up 24% and adjusted EPS was up 31%. Looking at the quarterly performance of the enterprise as a whole, variable investment income was outstanding, underlying PFOs were strong and expense disciplined held firm. The main area where we have seen headwinds is from elevated COVID claims. In key respects, the third quarter of 2021 looks very much like the first quarter with exceptionally strong VII more than offsetting excess mortality. On the investment side, our private equity portfolio returned $1.5 billion in Q3, its highest quarterly contribution in 2021 and the major contributor to VII, which was well above the top end of our implied quarterly guidance range. On underwriting in our U.S. business, the Group Life mortality ratio was elevated at 106.2% in Q3 on higher claim severity and frequency due to a shift younger in the age distribution of COVID deaths. Our Latin America business incurred COVID losses of $137 million in Q3. Two aspects of our underwriting results are noteworthy. From a social perspective, paying COVID claims is precisely how life insurance companies make a positive difference in the world. The human toll of the pandemic on families is catastrophic but where life insurance is present, the financial burden is eased. This is our purpose to help prepare the financial damage after lives most destabilizing moments. Pandemic to date, in our U.S. group business, we've incurred U.S. life claims of around $2.1 billion. Life insurance is not like other businesses where losses are just losses. Every underwriting claim represents a beneficiary who is receiving the financial help they were promised. From a financial perspective, even though our Life businesses have been hit with the most severe pandemic in more than 100 years, they remain profitable. MetLife has actually paid out more in COVID-related claims in 2021 than we did in 2020. And yet, our adjusted earnings per share are higher this year than last year, as is our adjusted return on equity. What has enhanced MetLife's capacity to pay outsized claims while still generating exceptional earnings is our of our strategic decision to allocate a prudent portion of our investment portfolio to private equity. While not a direct COVID offset, the valuation of our PE and VC funds with significant technology exposure has benefited from global capital flows to this growth sector. The return on our PE portfolio in the quarter was an outstanding 12.6% and stands at approximately 36% year-to-date. The gains on our well-seasoned portfolio are not mere accounting marks. Year-to-date, we have received $1.9 billion in cash distributions from RPE funds. Since 2016, the figure is $7.6 billion. While we often reinvest the e-cash proceeds as funds mature and terminate, the cash generated is steady and significant. Turning to the underlying performance of MetLife's businesses, we are seeing solid momentum. In U.S. Group Benefits, adjusted PFOs grew 13% year-over-year, excluding Versant Health PFO growth was 6.2% on strong jumbo sales and persistency, and we expect to end the year near the top end of our guidance range. In voluntary benefits, which for us consists of accident and health, legal plans and pet insurance, we saw strong double-digit PFO growth in the third quarter. The trend in sales is even stronger. Year-to-date, sales are up 40% over the prior period, and we remain on track for a record sales year. While group sales can fluctuate from year-to-year due to jumbo cases, we believe the robust U.S. job market and the competition for talent are creating a strong tailwind. In connection with open enrollment season this fall, we conducted consumer research on benefit preferences among millennials, who are now the largest age group cohort in the U.S. with more than 70 million members. Millennials are expressing strong interest in both traditional benefits such as life insurance and dental and involuntary benefits such as legal plans and pet insurance. Another top desire is for help with financial planning. MetLife entered the space in late September with a digital financial wellness tool called Upwise, which helps us connect with employees directly. The app is designed to address the emotional barriers to financial progress and help people tackle death, save more or even create a digital will. Within our RIS business, after a quiet first three quarters, we have already booked four cases totaling $3.5 billion of pension risk transfer deals in the first month of the fourth quarter. Next Tuesday marks the 100th anniversary of the first group annuity contract MetLife ever wrote with the William Rodge printing company. We are pleased to be a leader in the business of helping companies honor the retirement promises they have made to their workers. Last month, MetLife released the results of our annual pension risk transfer pull. We only survey companies that want to derisk. Of the 253 respondents, nearly 7 in 10 have pension plan assets of $5 00 million or more and 93% intend to divest all of the defined benefit pension liabilities at some point in the future, up from 76% in 2019. Elsewhere in RIS, excluding PRTs from both periods, adjusted PFOs were up 70% year-over-year. There were two main drivers. The first was longevity reinsurance, a market we entered in the UK last year. The second was post-retirement benefits, where we take on blocks of retiree life insurance from employers. This is an attractive adjacency to our group business that plays to MetLife's competitive advantages. In Latin America, we delivered exceptional sales growth in the quarter, up 45% year-over-year on a constant currency basis. In fact, sales were higher in Q3 2021 than they were in Q3 2019 before the COVID pandemic began. In most markets across the region, we saw double-digit growth in both sales and PFOs. Moving to cash and capital, MetLife ended the third quarter with $5.1 billion of cash at its holding companies. During the quarter, we paid $400 million in common stock dividends and repurchased $1 billion worth of outstanding common shares with another 233 million repurchased so far in Q4. We have $2.5 billion remaining on the $3 billion share repurchase authorization we announced in August. We are on track to return more than $5.5 billion of capital to shareholders in 2021, and we continue to strive for a balanced mix between business investment and capital return. In 2020, for example, we returned $2.8 billion to shareholders and invested approximately $5 billion in organic growth and M&A. Our test for capital deployment remains consistent. Does it clear our risk-adjusted hurdle rate? As John will describe in greater detail, the new business we wrote in 2020, a period when interest rates were at all-time lows, was the most attractive of the past five years. It had the shortest payback period, the highest internal rate of return and the highest value of new business relative to the amount of capital deployed. This was the natural outgrowth of our Accelerating Value initiative. By optimizing our portfolio of businesses, shifting our product mix to be more capital efficient and fully embracing an efficiency mindset, we have consistently improved VNB over time, and it is now an integral part of our capital allocation process. This year, in addition to organic growth, we increased the stake in our India joint venture, PNB MetLife to 47% from 32%. India is one of the five secular growth markets we identified in our Next Horizon strategy. Consistent with that strategy, we are increasing our exposure to a market where PNB MetLife has access to more than 200 million customers across 15,000 sales locations. In September, we held an in-depth session with our Board of Directors to pressure test every aspect of our Next Horizon strategy. We've done this each year of my tenure as CEO. As representatives of our shareholders and shareholders themselves, our Board challenged us to make sure we are positioned and on track to deliver on our goals. I believe the alignment between the Board and management is as strong as it's ever been, and our shared commitments remain clear, focus on deploying capital to its best use, simplify the company to improve efficiency and the customer experience and truly differentiate ourselves in the marketplace. Now I'll turn it over to John for a detailed review of our quarterly performance.
John McCallion: Thank you, Michel, and good morning. I'll start with the 3Q 2021 supplemental slides, which provide highlights of our financial performance, details of our annual global actuarial assumption review and updates on our value of new business metrics and our cash and capital positions. Starting on Page 3, we provide a comparison of net income to adjusted earnings. Net income in the third quarter was $1.5 billion or $541 million lower than adjusted earnings. Net derivative losses of $172 million were primarily driven by the strengthening of the U.S. dollar in the quarter. In addition, our actuarial assumption review accounted for $76 million of the variance between net income and adjusted earnings. In total, the assumption review reduced net income by $216 million, including a notable item to adjusted earnings of $140 million. The table on Page 4 provides highlights of the actuarial assumption review with the breakdown of the adjusted earnings and net income impact by business segment. We have kept our U.S. mean reversion interest rate unchanged at 2.75% and maintain our long-term mortality assumptions despite the near-term impacts from COVID-19. Most of the net income impact was in MetLife Holdings and Asia. For MetLife Holdings, the primary driver was a refinement to the variable annuity lapse rate function to better reflect policyholder behavior based on withdrawal status. In Asia, the largest impact was due to the lowering of the earned rate assumption in Japan, where we assume current earned rates for our long-term rate assumption. On Page 5, you can see the year-over-year comparison of adjusted earnings by segment, excluding notable items in both periods. Adjusted earnings, excluding notable items, were $2.2 billion, up 24% and up 23% on a constant currency basis, primarily driven by strong returns in our private equity portfolio. Adjusted earnings per share, excluding notable items, was $2.56, up 31% year-over-year on both a reported and constant currency basis, aided by capital management. Moving to the businesses, starting with the U.S.. Group Benefits adjusted earnings were down 72% year-over-year, driven by unfavorable underwriting margins in Group Life, which I'll discuss in more detail shortly. Regarding non-medical health, the interest adjusted benefit ratio was 70.7% in 3Q of 2021 at the low-end of its annual target range of 70% to 75% but higher than the prior year quarter of 67.4%, which benefited from extremely low dental utilization and favorable disability incidents. Volume growth, the addition of Versant Health and favorable expense margins were partial offsets to the decline in year-over-year results. Group Benefits continues to have strong top line growth. Year-to-date sales were up 40%, primarily due to higher jumbo case activity. Adjusted PFOs in the quarter were up 13% year-over-year, driven by solid volume growth across most products, including voluntary and the addition of Versant Health. Retirement and Income Solutions, or RIS, adjusted earnings, were up 60% year-over-year. The primary driver was higher variable investment income, largely due to strong private equity returns. Favorable underwriting margins and volume growth also contributed to year-over-year performance. RIS investment spreads were 256 basis points, up 100 basis points year-over-year due to higher variable investment income. Spreads, excluding VII, were 93 basis points, down 5 basis points year-over-year and sequentially, primarily due to lower paydowns in our portfolios of residential mortgage-backed securities and residential mortgage loans. RIS liability exposures including UK longevity reinsurance increased 4% year-over-year due to solid volume growth across the product portfolio. With regards to pension risk transfers, as Michelle noted, we have already completed $3.5 billion of transactions in the fourth quarter and continue to see an active market. Moving to Asia. Adjusted earnings were up 31% on both a reported and constant currency basis, primarily due to higher variable investment income. Asia's solid volume growth also contributed to the strong performance, driven by higher general account assets under management on an amortized cost basis, which were up 7% on a constant currency basis. Lower accident and health utilization in the prior period was a partial offset. Asia sales were down 12% year-over-year on a constant currency basis, reflecting pressure from COVID-related lockdowns in the region. Asia year-to-date sales were up 10% on a constant currency basis and remain on target to achieve double-digit growth in 2021. Latin America adjusted earnings were down 35% and down 38% on a constant currency basis, primarily driven by unfavorable underwriting margins due to elevated COVID-19-related claims, mainly in Mexico. The impact to Latin America's third quarter adjusted earnings was approximately $137 million. While the situation remains fluid, we have seen COVID-related hospitalizations and deaths in Latin America significantly declined in October. Favorable investment in expense margins as well as lower taxes versus the prior year quarter were partial offsets. While Latin America's adjusted earnings have been pressured by elevated COVID-19-related claims, sales and persistency throughout the region remains strong. Latin America adjusted PFOs were up 22% year-over-year on a constant currency basis, and sales were up 45% on a constant currency basis, driven by solid growth across most markets. EMEA adjusted earnings were up 20% on both a reported and constant currency basis primarily driven by volume growth across the region and favorable underwriting margins, primarily in the Gulf. We expect EMEA adjusted earnings to decline in the fourth quarter due to the timing of certain technology investments across the region. EMEA adjusted PFOs were down 2% on a constant currency basis and sales were down 5% on a constant currency basis, reflecting divested businesses, partially offset by growth in Turkey and Europe. MetLife Holdings adjusted earnings, excluding notable items in both periods, were up $271 million year-over-year. The increase was primarily driven by strong private equity returns. Underwriting margins did reflect higher life claims severity than expected during the third quarter of 2021. However, the Life interest adjusted benefit ratio of 53.3% was within our annual target range of 50% to 55%. In addition, LTC new claims returned to more normal levels in the quarter versus very low new claims submissions in the prior year quarter. Corporate & Other adjusted loss was $131 million in both periods. Lower tax benefits were mostly offset by higher net investment income year-over-year. The company's effective tax rate on adjusted earnings in the quarter was 20.6% and within our 2021 guidance range of 20% to 22%. Now I'll provide more detail on Group Benefits mortality results on Page 6. This chart reflects our Group Life mortality ratio for the first three quarters of 2021, including the COVID-19 impact on the ratio and on Group Benefits adjusted earnings. Group Life mortality ratio is 106.2% in the third quarter of 2021, which is well above our annual target range of 85% to 90%. COVID reported claims in 3Q of 2021 were roughly 18 percentage points which reduced Group Benefits adjusted earnings by approximately $290 million. The primary drivers were higher claim frequency and severity. Approximately 40% of U.S. COVID deaths in the quarter were under age 65, about double the rate of the first quarter of this year and the highest percentage in any quarter since the pandemic began and therefore, having a greater proportional impact on the working age population. In addition, we estimate that the quarter included roughly 1 to 2 incremental percentage points impact on the mortality ratio from claims that appear to be COVID-related but were not specifically identified as COVID on the death certificate. Despite the impact from COVID, Group Benefits remains a profitable and growing business for MetLife. Group Benefits reported adjusted earnings of roughly $450 million year-to-date and adjusted PFO growth of 13%. Now let's turn to Page 7. This chart reflects our pre-tax variable investment income over the last five quarters, including approximately $1.8 billion in the third quarter. This very strong result was mostly attributable to the private equity portfolio which had a 12.6% return in the quarter. As we have previously discussed, the private equities are generally accounted for on a one quarter lag. While all private equity asset classes performed well in the quarter, our venture capital funds, which account for roughly 23% of our PE account balance of $12.8 billion. We're the strongest performer across subsectors with a roughly 18% quarterly return. Page 8 highlights VII by segment for the first three quarters of 2021, including $1.4 billion post tax in the third quarter. The attribution of VII by business is based on the quarterly returns for each segment's individual portfolio. As we have previously noted, RIS, MetLife Holdings, and Asia generally account for 90% or more of the total VII and are split roughly one-third each, although it can vary from quarter to quarter. The VII results in the quarter were more heavily weighted towards RIS and MetLife Holdings, as Asia's private equity portfolio is less mature and has a smaller proportion of venture capital funds I referenced earlier. Turning to Page 9, this chart shows our direct expense ratio over the prior five quarters and full year 2020, including 11.1% in the third quarter of 2021. As we have highlighted previously, we believe our full year direct expense ratio is the best way to measure performance due to fluctuations in quarterly results. Our third quarter direct expense ratio benefited from solid top line growth and ongoing expense discipline. This did include approximately 20 basis points from premiums that relate to participating cases and 20 basis points from a single premium Group Life sale in RIS. In addition, the impact from seasonal enrollment costs and timing of certain technology investments are expected to be more heavily weighted to the fourth quarter. Therefore, we do expect the direct expense ratio to be elevated in 4Q. Now, let's turn to Page 10. This chart reflects new business value metrics for MetLife's major segments for the past five years, including an update for 2020. Consistent with our Next Horizon strategy, we continue to have a relentless focus on deploying capital and resources to the highest value opportunities. As evidence of that commitment, MetLife invested $3.2 billion of capital in 2020 to support new business, which was deployed at an average unlevered IRR of approximately 17% with a payback period of six years. New business written in 2020 reflects our disciplined approach to building profitable growth, while creating value, generating cash, and mitigating risk. Despite the sales challenges in 2020 associated with lockdowns related to the pandemic, we were able to increase our value of new business and IRR, while lowering our cash payback period versus 2019. Now, I'll discuss our cash and capital position on Page 11. Cash and liquid assets at the holding companies were $5.1 billion as of September 30th, which is down from $6.5 billion at June 30th, but still well above our target cash buffer of $3 billion to $4 billion. The sequential decrease in cash at the holding companies include the net effects of share repurchases of $1 billion, payment of our common stock dividend of roughly $400 million, subsidiary dividends, as well as holding company expenses and other cash flows. In addition, we had a long-term debt repayment of $500 million in the third quarter. Our next long-term debt maturity is not until September 2023. Next, I would like to provide you with an update on our capital position. For our U.S. companies, preliminary third quarter year-to-date 2021 statutory operating earnings were approximately $4 billion, while net income was approximately $3 billion. Statutory operating earnings increased by approximately $1 billion year-over-year, primarily driven by higher variable investment income and lower variable annuity right of reserves. Year-to-date 2021 net income increased by, roughly $400 million as compared to the first nine months of 2020. The primary drivers were higher operating earnings and net investment gains which was partially offset by derivative losses. We estimate that our total U.S. statutory adjusted capital was approximately $19.7 billion as of September 30th, 2021, up 16% compared to December 31st, 2020. Favorable operating earnings and net investment gains were partially offset by derivative losses and dividends paid to the holding company. Finally, the Japan solvency margin ratio was 960%, as of June 30th, which is the latest public data. In summary, MetLife delivered another very strong quarter, driven by exceptional private equity returns, solid top line growth, ongoing expense discipline and the benefits of our diverse set of market-leading businesses and capabilities. While earnings power of our group benefits in Latin America businesses, has been dampened by COVID-19 excess mortality. We are pleased with the momentum behind these market-leading franchises. In addition, our capital, liquidity and investment portfolio remains strong and position us for further success. Finally, we are confident that the actions we are taking to be a simpler and more focused company will continue to create long-term sustainable value for our customers and our shareholders. And with that, I will turn the call back to the operator for your questions.
Operator: [Operator Instructions] Our first question will come from the line of Ryan Krueger of KBW. Please go ahead.
Ryan Krueger: I was hoping you could provide a little bit more detail on your group non-medical health claim trends in the quarter. I guess, in particular, and I know disability is a bit smaller for you, but some companies have had weaker disability results and it sounds like yours held up pretty well. So I appreciate any detail you could provide here.
Ramy Tadros: Good morning Ryan. It's Ramy here. So on the disability front, as you noted, it's - relative to our premium, it's about 12% of our overall PFOs in group. And I can give you some color based on both the LTD and the STD portions of the book. So for the LTD side, what we saw is an incidence rate this quarter that's much more in line with our historical norms. It was higher than last year but last year was a favorable incidence here from a disability perspective. So we're seeing it tick back to where it was historically from a frequency perspective. And then, the recoveries continue to be pretty strong. The other thing I would add there on the LTD side is so far, we have not seen any significant impact on the business from kind of COVID or non-COVID effect, neither have we seen any material impacts from the overall economy. So it's been pretty much a return to, call it, a pre-pandemic levels as far as the LTD book. For the STD side, it's a bit different. So think about that 12% of disability premium, two-thirds of it is sitting in the LTD only a third of it sits in the STD. And then for that one-third that's in STD, about half of those employees are comprised of ASO only business. So we are administering the disability claims but not on the hook for the actual claims themselves. So while for the STD portion, we have seen and continue to see elevated STD COVID claims. The actual impact on the non-medical health ratio is pretty de minimis given the composition of our book and the ASO exposure.
Ryan Krueger: Great. That was helpful. Thank you. And then you've had some benefit from RMBS paydowns in RIS. How should we think about the ongoing impact of that? Or what's left of it from here?
John McCallion: Good morning, Ryan. It's John. Yes, obviously, RIS spreads, I think, overall, have been just a beneficiary of just the excellent performance here in private equity portfolio. So we saw that continue in this quarter. You're referencing, after excluding VII, that spreads have remained resilient at 93 basis points, although a 5 basis point decline from second quarter. But pretty much in line with what we what we set back 90 days ago. So you're referencing that continued alleviated levels paydown activity on the residential mortgage book, and that accelerates the income from those securities or loans that we purchased at a discount. But as we said, we believe we've seen the peak of that. And so that 5 basis point run-off was generally expected. We would expect that to continue into 4Q and kind of start to make its way down. And - but I think kind of a similar trajectory seems reasonable at this point.
Operator: Our next question will come from the line of Erik Bass of Autonomous Research. Please go ahead.
Erik Bass: So we've seen more in-force block transactions over the past quarter with sellers getting pretty attractive multiples. And it seems like there's plenty of buyer interest in the types of liabilities you have, and now there are some potential counterparties that have New York entities. So I'm curious if you're getting more optimistic about finding a transaction that could potentially unlock value in portions of your MetLife Holdings blocks?
John McCallion: Eric, it's John. I'd say the short answer is, yes. If the question is, are we getting more optimistic? Yes. We are seeing what you're referencing as well. I think the supplier and buyer base is continuing to remain, I'd say, robust. And I think our team continues to work and take a third-party view and do the analytics around our portfolio. And as we've - I've talked about before, quite a bit of it is thinking about what are of interest of different buyers. It differs. Not everyone is thinking the same way or have they - buyers have different tools for creating value. And so we have to think through that and think about our situation as well and how we would optimize from our end. And I think there is a puzzle to put together there to think through how to best optimize a situation like that. As we've talked about before, we're not going to do something at any cost. But we are continuing to look at things to optimize and accelerate the release of reserves and capital appropriately. And I think that's - we're still on track with that.
Erik Bass: Great, thank you. And then second, I was hoping you could give some perspective on what's going on in Chile and the potential implications for your business. I guess specifically, what are the different proposals that are out there for the AFP system from the leading presidential candidates. And do you see risk of significant change to that business following the election? And also hoping you could talk about the early annuity payouts issues that's been covered in the press and whether that's material for you at all.
Michel Khalaf: Yes. Hi, Erik. It's Michel here. So let me give you some comments and then we'll see if Eric would want to add anything. The pension system in Chile has been subject to public debate for a number of years now, I would say, and that debate tends to heat up around elections. One thing I would say is that despite the general perception, to the contrary, if you think about the pension system, I mean, it's functioned quite well and the returns have been quite good as well for the industry as a whole. The problem with the system is that due to inconsistent contributions, the fact that you have widespread and formal labor in Chile and contribution rates are low. That's led to sort of low projected replacement rates at retirement. The debate is continuing now with presidential elections, round one is in late November and then you'll have the second round in December, and different candidates are taking very different views. Some are supportive of the system, others are in favor of radical reform. So we'd have to see how that plays out. The other thing that's happening in Chile is that there is a re-drafting of the constitution that's taking place that's going to play out next year as well. So we'll see what comes out of that. We are very much engaged with the local authorities. We have great relationships in Chile, we are a leading player there, as you know. We're also in collaboration with the industry, making sure that our point of view is being heard, and hopefully, addressed as well. And look, we are - we are not - we in favor of reform that makes sense for the participants in the system, that protects them, their retirement. But we are also cautioning against any measures that ultimately would do - would damage today's capital markets, as well as investor perceptions of the Chilean - Chile as an investment destination. So we continue to be engaged. As you know, there has been three rounds of withdrawals already. There is another proposal for a fourth round of pension withdrawals. We'll see whether that gets surpassed or not. Clearly, if it does, whereas these withdrawals don't have a material impact on earnings, the damage sort of the viability of the system, if you like, which is something that we advocate against. And then on the annuities front that you referenced, this - there's been one withdrawal there. Again, we don't know if there'll be another one. I think probably our view is that the likelihood of that is not very high, but we'll have to wait and see. All-in-all, our pension business is 2% of MetLife's overall earnings. But our view is that we continue to engage, we continue to keep a close eye on the situation, and we'll have to see how this plays out over the coming weeks and months. Anything to add, Eric?
Eric Clurfain: No. I think you covered it.
Michel Khalaf: So I hope that gives you sort of - that answer to the question, Erik.
Operator: Our next question comes from the line of Jimmy Bhullar of JPMorgan. Please go ahead. 
Jimmy Bhullar: Just had a question on the group business. If you can talk about what you're seeing in terms of claims utilization, both frequency and severity in your dental book?
Ramy Tadros: Sure, Jimmy. It's Ramy here. I would say the dental story is very much a return to pre-pandemic utilization. So if you look at the quarter-over-quarter results, 2020 was exceptionally low in terms of dental utilization. We've seen that come back to normal levels. Q3 tends to be seasonally lower. So Q4 tends to kind of slightly tick up typically in terms of the dental business. So very much kind of a return to normal. And I would say if you look at the overall ratio, our non-medical health ratio. And our expectation right now is that for the full year, we're going to get a ratio that's very close to the midpoint of our range.
Jimmy Bhullar: Okay. And then on the accounting changes, can you talk about where you are internally on sort of the process of figuring out what the impact will be on MetLife? And then relatedly, when do you think you'll start quantifying the impact and sharing it with the investment community?
John McCallion: Good morning, Jimmy, it's John. We are well underway on our implementation work, progress continues. And I'd say, continue to be on target for implementation come 11/23. We're going to - we're in the process of evaluating transition amounts and ongoing impacts of the new guidance. And I'd say our plan is still intact, which would be kind of a mid-2022 timeframe, give or take, for disclosing and kind of sharing how to think about the transition and the insights you should draw upon this. Again, I'd remind everyone that ultimately economics, cash flow, pricing product does not change. And I think we're working well with the industry to think through how we collectively transition ourselves and kind of explain the results. And I think that's going well. So at this point, I'd say nothing has caused us to feel the need to change the time line.
Jimmy Bhullar: And have you had conversations with the rating agencies on how they would view, obviously, they focus on cash flows and stat as well but they do look at cap also. But do you think there will be changes because a lot of your GAAP ratios would obviously end up changing once the rules are implemented.
John McCallion: Yes. We've had periodic discussions with them over time. I think the rating agencies get it, and not everything is changing. So when you say ratios, not all ratios are changing. I mean our group business ratios won't change. So I think it's not all businesses. It's not all products. And I think it's - there will be certain unique circumstances that will arise in certain books. But in general, I think my assessment is that - they have a very balanced methodical way of thinking about it, and they recognize the fact that economics, cash flow and pricing of products is not changing.
Operator: Our next question will come from the line of Tom Gallagher of Evercore ISI. Please go ahead.
Tom Gallagher: Good morning, John. Just a follow-up on Erik's question on risk transfer. Would you say is - are variable annuities the priority or you're looking broader that might include life insurance and fixed annuities. And just a related question, does your New York domicile limit the types of counterparties that you might transact with? Or would you say it's still a pretty robust list as you're thinking about things that would be in a potential auction bidding situation?
John McCallion: Good morning, Tom. I would say the answer to the first question would be would be, we're open to all blocks of business that create value for us. So I think a lot of different aspects go into value creation when it comes to that question. So I don't think it's one focus there or another. I'd say probably the only one that could probably scope out or say is less likely as LTC just given where bid spreads are at these days. But I'd say markets are evolving on all the other ones. And then you have to look at your own kind of situation to think about the benefits we get from having them in our New York domiciled entity. And so that's how we would kind of frame it. I wouldn't exclude anything outside of, let's say, LTC just given where I think pricing is, there's a pretty big divergence in what people think at this point. On the other aspect of counterparty, I would say, we come at it probably the same way that our New York domicile partners would come at it as well. So I don't know if it changes who or how we would do transaction. I think we probably take somewhat of a similar construct because at the end of the day, our situation would be a reinsurance transaction from the New York domiciled entity. And so credit risk would matter. And so structure can help with that as well. But I don't think it excludes anything per se, but that would be a strong consideration.
Tom Gallagher: Okay. Thanks. And then just one quick one. Long-term care claims, you said, returned to more normal levels this quarter. Was that on both claim frequency and severity? And the reason I ask is, there's clearly, from what we've heard from other has been a shift away from facility care to home health care, which has lowered severity. I'm just curious, if you have that level of detail for how that's trending right now?
John McCallion: Yes, sure. Good question, Tom, because you're right. It has shifted. I mean, quite honestly, every metric has shifted back to pre-pandemic levels. I mean maybe we're off slightly on the relationship of in-home versus kind of external care, but it's very close. It's much - it's very close to being pre-pandemic.
Operator: Our next question will come from the line of Humphrey Lee of Dowling Partners. Please go ahead.
Humphrey Lee: Good morning, and thank you for taking my questions. Related to EMEA, you talked about there are some favorable items in the quarter and expect fourth quarter to trend down along with some of the high expenses. Is there any way to help us think about what would be the kind of the run rate earnings for EMEA? 
John McCallion: Yes. Good morning, Humphrey. So yes, we had a very strong Q3, I'd say, a number of items went in one direction that caused us to have a very strong result in Q3. As we think about quantification of that, you could put it in the area of, call it, $20 million, $25 million, give or take. And then as I said on - in my prepared remarks, we'd expect some elevated technology investments in the in the fourth quarter. So I'll give you some data point from this sure I give you anything outside of that, but that probably should help you kind of frame for your modeling.
Humphrey Lee: And then in terms of the overall expenses for company, is the 12.3% for the full year still the appropriate way to think about the expenses for 2021?
John McCallion: Yes. So I would say we continue to focus on the full year that's our target to be under 12 3%. Full year obviously we've been running well below that. I mentioned that we would expect to have elevated expenses in the fourth quarter. Quite honestly, it's not much different than the trend you saw a year ago, in terms of how things transpired for most of the year, and then we saw an uptick. And so that, if we're above 12.3% in the fourth quarter by a bit that would that would not be a surprise, per se, but that's not our focus. Just using that as an example when you talk about the 12.3% what's important to us is the 12.3% for the full year. And so, that's kind of our mindset when we think about our expense ratio, and we continue to anticipate to be under that on a full year basis.
Operator: And our next question will come from the line of John Barnidge of Piper Sandler. Please go ahead
John Barnidge: An increase COVID impact on the group Life business is there a need to increase administrative expenses to deal with him during nature the pandemic at all?
Ramy Tadros: John, it's Rami here. The expense ratio on the Life business is pretty small. So the real the real issue is not operations or expenses, the real issue and the challenge you're seeing is just the claims front. So it's not really an expense issue at all this point.
John Barnidge: And then, would it be fair to say, if the seasonal increase in the direct expense ratio overall, obviously about 12.3% seems fair to come in well below 12% for the year, would there be a reevaluation of it longer term possibly? Thank you.
Ramy Tadros: John, it's Rami again here. I just want to maybe also further clarify our issue with the intent of your question with respect to what's going to change and what is changing on the life side is pricing. So we did talk about this, the last quarter we have and we continue to make rate adjustments in the group life business, in line with our perspective view of the pandemics. It's not operations related is related to the underwriting and the mortality. And as you look at the upcoming renewal season, we have been able to achieve rate adjustments and rate increases in line with our perspective view of mortality, while maintaining pretty strong persistency in our book. So and that's going to be an ongoing process that we're undertaking. So that's kind of what's changing, if you will, with respect to the group life piece.
John McCallion: And then I can take the second question you had John. This is John as well. Yes, our target is under 12.3% you said is it possible. Sure, anything is possible I guess, but ultimately, we are steadfast on being at or below 12.3%. Again, what we're trying to do is shift the mix of expenses that are within our expense base, and continue to drive savings and capacity for reinvestment. So we want to maintain being at or below 12.3% on a persistent basis every year. But at the same time, we want to continue to drive efficiencies that free up the allocation of resources to invest in the customer, invest in our processes, and to continue to drive growth for the firm. And so, at the same time, if we see headwinds in an economy, we can use that capacity as a protection for profit margin. So that's kind of our philosophy when it comes to our efficiency mindset. And I'd say nothing would kind of take us off that track at this point.
Operator: There are no further questions in queue at this time. I would now like to turn the conference back over to our CEO, Michel Khalaf for any closing remarks. Please go ahead, sir.
Michel Khalaf: Great. Thank you, Operator. While the third quarter had outsized PE returns and COVID claims, we believe the underlying performance of our business, demonstrates the enduring strength and growth potential of the MetLife global insurance franchise. Although the pandemic continues to create uncertainty, I am confident in our ability to continue to execute and create long-term shareholder value for shareholders. Have a great day.
Operator: Ladies and gentlemen, it does conclude your conference call for today. ON behalf of today's panel we like to thank you for your participation in today's earnings call and thank you for using our service. Have a wonderful day. You may now disconnect.